Operator: Welcome to the Barclays Q1 IMS Analysts and Investor Conference Call. I will now hand you over to Tushar Morzaria, Group Finance Director.
Tushar Morzaria: Good morning, and thank you for joining me. Antony and I have agreed that, going forward, I'll present our Q1 and Q3 results. We'll both present the full year and the interim results. As you know, Antony and I are going to present a strategy update the day after tomorrow, so on today's call, I'm not going to preempt what we'll present on Thursday, but I will run through the Q1 results in some detail. I'll leave plenty of time for your questions and will do my best answer to them, but I'm sure you'll have a number of questions that are best addressed on Thursday. The areas of strength and weakness in the results are fairly clear, with good momentum in our traditional banking franchises and progress in a number of our IB businesses, offset by significant weakness in FICC. Antony had said previously that cost is a strategic battleground for our industry, and we saw material benefits coming through from our cost programs, reporting the lowest level of quarterly operating expenses since Q3 2009 at GBP 4.2 billion, excluding CTA. Of course, there is some seasonality in costs, and in particular, the bank levy comes into Q4 each year. But we are in a good position to better our original cost guidance of GBP 17.5 billion for 2014, excluding CTA, and we'll be saying more about our cost programs on Thursday. Adjusted PBT for the group was down 5%. We also continued to strengthen our capital position, with CET1 reaching 9.6% and the PRA leverage ratio reaching 3.1%. Net tangible book value also increased by 1p in the quarter to 284p. Going into more detail on the group P&L. Income was GBP 6.7 billion, generating adjusted profit before tax of GBP 1.7 billion, a small reduction on last year, as Antony flagged at the AGM a couple of weeks ago. Statutory profit before tax was GBP 1.8 billion. Own credit has been excluded from our adjusted results, which are the basis for most of my discussion today. We saw increases in PBT in all our businesses, except the IB and Wealth. And within the IB, the decline was driven by FICC. Group income was down 14% at GBP 6.7 billion, reflecting growth in our U.K. Retail and Barclaycard businesses but significantly lower income in FICC. We charged GBP 548 million in impairment during the quarter, down 22% year-on-year, with an annualized loan loss rate of just 45 basis points. Total operating expenses, including CTA, were GBP 4.4 billion. Excluding CTA, operating expenses were GBP 4.2 billion. This reflected sustainable cost savings achieved following last year's CTA spend that we talked about at full year. Our effective tax rate for the quarter was broadly stable year-on-year at 33% on adjusted profits. The full year rate for 2013, you will recall, was higher because of the deferred tax asset write-off that we took in Q4. Q1 has continued the improving trends on balance sheet metrics, with progress on funding, liquidity and capital. Net interest margin has stabilized, and we have continued to demonstrate solid credit risk management. I'm going to spend a few minutes on these themes before summarizing the performance of each of our businesses. We have continued to reduce the size of our balance sheet with estimated leverage exposure after PRA adjustments, reducing a further GBP 39 billion in the quarter to just over GBP 1.3 trillion, while the IFRS balance sheet total rose slightly with a seasonal increase in settlement balances. RWAs were reduced to GBP 429 billion. And fully loaded CET1 capital increased by GBP 1 billion to GBP 41.4 billion, taking the CET1 ratio to 9.6%. We continue to be well funded and maintain liquidity in excess of regulatory requirements. Of course, returns continue to be below our expectations, and again, that will be a key focus of Antony's presentation on Thursday. I'll summarize in this next slide how we are tracking compared to future minimum regulatory requirements, with further progress on CET1, the PRA leverage ratio and the LCR ratio. Although we are already meeting or on track to meet these anticipated future minimum requirements ahead of their compliance dates, it remains important that we anticipate further regulatory change where we can and stay ahead of the curve. Moving on to net interest income. The total was GBP 3.1 billion, up 8% year-on-year, with increased customer NII and a flat net contribution of approximately GBP 400 million from structural hedges. As you know, we calculate our net interest margin across our Retail, Corporate and Wealth businesses, and we use total assets plus liabilities as a denominator. Average customer assets plus liabilities for these businesses were up 4% year-on-year, while NIM was flat at 179 basis points. As a percentage of average customer assets, the way some banks report their margins, NIM increased from 345 basis points to 361 basis points. Our strong risk management was further -- was reflected in further improvement in impairment with a charge of GBP 548 million, as you can see on this slide. This was a 22% improvement on Q1 2013, with charges in Corporate Banking and Africa RBB, in particular, continuing to decline. Credit metrics remain strong, as credit risk loans continued to fall as a percentage of loans. The overall outlook remains benign, with most delinquency statistics broadly stable. Turning now to costs. Excluding CTA, costs reduced from GBP 4.8 billion last year to GBP 4.2 billion, as we achieved significant reductions from our cost actions. We also had some favorable FX impact, partially offsetting the negative FX impact on the income line. Looking at the cost savings in more detail, this slide shows the reduction in costs detailed by business. As you can see, staff costs were down, and within this, compensation reduced 14% to GBP 2.4 billion, with IB compensation down 20%. In the IB, there was, of course, a decline in current year performance cost accrual but also in nonperformance compensation, including an 8% decline in salary cost despite the introduction of role-based pay. IB headcount was down 800 in Q1, including a proportion of the Managing Director and Director costs we referred to in February. And as you have seen, there are further headcount reductions coming through in Q2. We've also been cutting non-compensation costs in the IB, which, excluding CTA, reached their lowest level since 2010 in the quarter. There have been cost saves across all businesses, but some take longer to show up in the OpEx run rate than others, most notably in ERBB, with a run rate savings from the GBP 400 million of CTA spend last year, won't be fully phased in, until later this year. Turning now to each of the businesses. U.K. RBB performed well and is strongly positioned for the continuing U.K. economic recovery. Income was up 7%. We saw a continuing volume growth in assets and deposits, while NIM has increased 4 basis points. And we are well positioned for interest -- increases in interest rates going forward. Mortgage stock share reached a record 10%, and growth in most other retail products has exceeded market growth. Operating expenses, x CTA, were down 4%. And we completed during Q1 the latest phase of headcount reductions, totaling 1,700 FTEs, almost all of them voluntary. The full effects of these will show through in reported cost numbers as we go through the year. This, combined with increased income, resulted in positive jaws [ph] and PBT up 20% year-on-year. Our return on equity increased to 12.4%; and return on tangible equity, 21%, and we're confident that this business will continue to generate strong returns. Barclaycard continue to grow the U.K. and International businesses, delivering 3% income growth and maintaining strong returns with an ROE of 18.6%. We saw further volume growth in assets and in our U.S. deposits. Although NIM was down year-on-year, it increased to 819 basis points from 807 in Q4. Impairment increased 3%. And with operating expenses down 10%, we had strong positive jaws [ph], delivering a 17% increase in PBT to GBP 423 million. Barclaycard remains a key element in the delivery of strong returns to shareholders at the group level. Corporate Banking had a good quarter, with PBT increasing 42% year-on-year to reach GBP 260 million, despite a GBP 58 million year-on-year negative fair value movement in the ESHLA loan portfolio. This improvement reflects good performance in the U.K. franchise rationalization of the geographic footprint and further improvement in impairment, particularly in Spain. Returns overall are not yet at a satisfactory level despite the increased PBT, but we are confident about the direction of travel, with cost savings coming through and some asset growth in the U.K. in Q1. Moving on to Africa RBB, Europe RBB and Wealth. Africa RBB improved performance, with PBT just up -- just over GBP 100 million, up 25% despite a significant depreciation in the rand. This equates to a 75% increase on a constant rand basis. This improvement reflects actions we took in 2012 and early 2013 to provide against credit risk, particularly in the South African home loans recovery book. We still have some way to go to bring returns up to a satisfactory level, but we have strong market positions in Africa and critical mass across the continent, a key element in our geographic diversity. The reduction in loss for Europe RBB to GBP 88 million includes the GBP 353 million reduction in CTA, reflecting the significant restructuring we announced in the first quarter last year, as we reduced branches and distribution points by nearly 50% over the course of 2013. The decline in income, as we scaled back the business, was more than offset by lower impairment and some cost savings coming through from the restructuring. We are aiming for Europe retail, excluding Exit Quadrant assets, to reach breakeven over the next couple of quarters, as further cost savings from the restructuring take place. The new management team in Wealth has continued to implement their revised strategy to simplify the way the business operates. This involved a further CTA charge of GBP 22 million in Q1. The lower level of income was more than offset by cost savings, but returns remain below a satisfactory level. The Investment Bank generated GBP 668 million of PBT for the quarter. Confidence in FICC markets remain subdued as in the second half of 2013, although FICC income was up on Q4. Income was GBP 2.5 billion, with a year-on-year decline of 41% across FICC businesses, which accounted for the majority of the overall decline in income against Q1 last year. Investment Banking income was flat year-on-year, while Equities was down 5%. There was an impairment release of GBP 46 million. And costs were GBP 1.9 billion in total, down 14% year-on-year, with compensation down 20% to GBP 1.1 billion. The reduction in operating expenses reflected the lower compensation costs, as I mentioned earlier, and some additional benefits from Transform, but further cost reductions are not yet fully reflected in the cost run rate and will phase in over the rest of the year. RWAs continue to be tightly controlled, with a slight decrease to GBP 219 billion, with continuing risk reduction partially offset by increases in operational risk RWAs and further methodology changes. Returns are based on capital allocation on a CRD IV basis and, as a result, are well below satisfactory levels at 4.7%. This reflects significant drag from Exit Quadrant assets and under -- other underperforming parts of the business principally within FICC. The Equities and Investment Banking franchises continue to develop well. We had a #1 position in global DCM and a top 3 position in U.S. M&A with an increased share. Landmark deals included Cisco's GBP 8 billion multi-tranche bond issue and leading 8 of the 11 syndicated eurozone sovereign benchmark transactions, totaling approximately EUR 32 billion. The Investment Banking seed [ph] pipeline is also at very strong levels, up on this time last year, including our current role of financial adviser to Valeant Pharmaceuticals on the $47.5 billion offer for Allergan. The FICC performance in Q1 was clearly disappointing, but there were a number of factors to bear in mind. FICC market conditions have generally been weak in Q1, and we have been heavily geared towards Macro Products, and those asset classes seemed to have performed the least well, and so our mix was not helpful. You'll see smaller headwinds from Exit Quadrant activities and from adverse currency moves. But some of the decline is also the result of conscious decisions we have made both last year and during Q1. In addition to the changes we announced last year, we have been making further refinements to our business mix during Q1 in light of the strategic review of the IB. You'll have seen that we have been shrinking our Commodities footprint, which other banks have noted performed strongly, but there are also other areas where we have been starting to reposition. When looking at year-on-year performance against peers, also bear in mind that we had a better relative performance last year. That does give us a higher starting point, but there is no doubt we have underperformed in FICC. Of course, as we shrink certain product lines, the related cost reductions will rag -- will lag revenue reduction in our reported numbers. However, I would remind you that the IB did post its lowest nonperformance costs since 2009. I mentioned at the full year that the initial priorities Antony and I agreed on when I joined was the focus on capital ratios and the PRA leverage ratio, in particular. We made good progress on these areas in the latter part of 2013, and this has continued into Q1, with further capital accretion and reduction in RWAs and leverage exposure. We are working intensively on costs and, as you can see, some of the strong progress we are making coming through in the Q1 results, which demonstrate that we are on track to better the GBP 17.5 billion target we had originally set for 2014. Of course, since we've set this target and that of the GBP 16.8 billion for 2015, the income outlook for FICC has deteriorated. And Antony and I have conducted an in-depth review of the last few months to establish a clear path to sustainable returns about the cost of equity for the group. This review has not been limited to the IB, but the direction for the IB clearly forms a critical element of it, and we will be giving the market details of our plans on Thursday. In the meantime, before we move to Q&A, I just like to emphasize that we reported adjusted PBT of GBP 1.7 billion, with strong momentum in our traditional banking franchises, progress in parts of the IB partially offsetting the significant weakness in FICC. We generated a statutory EPS of 5.9p per share and declaring an interim dividend of 1p. In terms of the outlook for dividends, as I've said at the full year, I would see our 2014 dividend at the 40% payout level, of course, subject to meeting regulatory minimum requirements. And with that, we'll move on to Q&A.
Operator: [Operator Instructions] Your first telephone question today, Tushar, is from Michael Helsby from Bank of America Merrill Lynch.
Michael Helsby - BofA Merrill Lynch, Research Division: I've got just a couple, if I can. Tushar, just on the FICC revenues, wondering if you could just give us a little bit more color if you can in advance of Thursday. I think you've specifically highlighted Commodities as an obvious area that you pulled back on. Can you give us the revenue and if you've got it, actually, the cost contribution for the Commodities business in the first quarter of last year and what the actual number was in Q1 of this year? And if you've got the RWAs for Commodities, that would be really helpful as well. So that would be question 1. Then on bad debt, clearly, that was a very strong performance in the first quarter. You pulled out GBP 46 million of bad debt release in the IB, but then you're saying the outlook is very benign. So is there anything in Q1 outside of the IB that means we can't use it as a base for the rest of the year, given the outlook, I think, remains pretty strong? And then finally, actually, on costs, if I can. I think your, again, Q1 was extremely strong, very notable, if we x out the levy in the U.K. Retail, Barclaycard, Corporate, Africa and Wealth, actually, from a run rate perspective. I think you mentioned the Transform cost cuts in IB are yet still to come through on a quarterly basis. We -- I take it we still can look forward to quarterly reductions in -- outside of the IB as well.
Tushar Morzaria: Thanks, Michael. So 3 questions, and I'll take them in the order you asked them. So first of all, FICC, and you asked for specific color around Commodities revenues, costs, RWAs. Let me give you a sort of more general comment, and I'll come back to Commodities. I mean, there were a number of factors that explain our variance to peers that have reported before us, as I say, a slightly -- perhaps, a slightly high starting point, given our relative performance in Q1 last year. There were some adverse currency moves, sterling strengthened across all currencies. And as you're aware, we do generate a lot of revenues outside sterling. I mentioned that our business mix going into the quarter was probably not helpful, given, at least for us, Macro Products were the trickiest asset class in the quarter, and then the repositioning. The repositioning, the only reason I called out Commodities is because it's the one that's been publicly reported, but there are others. So I'm somewhat reluctant just to start quoting numbers on Commodities, particularly in the sort of level of detail that you want. But just to leave you is that Commodities, along with some other repositioning, was a meaningful contributor but not the only contributor, it was a combination of all of these factors. And Commodities was one component of the repositioning that we took place, and we'll talk more about that on Thursday. On your second question, on impairment, the GBP 46 million released in the IB, yes, that's correct. I'm not sure you should sort of multiply -- or anybody should multiply that by 4 and expect similar releases in subsequent quarters. These are somewhat episodic. I don't expect these to be recurring, so perhaps a better sort of impairment quarter than would've otherwise been outside of that release. The outlook, however, does appear quite benign. Our indicators are at relatively low levels, so it's difficult to see at the moment what the catalyst would be for a spike in impairment, but I certainly wouldn't be expecting significant recoveries coming back into those numbers. In terms of costs, your question around should we see continued reduction in costs over the year, that is our intention. You -- hopefully, you've seen the first tangible quarter where our cost base has materially stepped down, really, off the back of a lot of work that we've been doing leading up to this since Transform kicking in late roughly this time last year, I guess. We did give a cost guidance of GBP 17.5 billion for this year. We do think we'll do better than that, obviously, somewhat reflecting the weakness in income that we've seen really, very specifically in FICC. Our guess is, here, we'll probably be somewhere around GBP 17 billion for the full year. Now I'll put a couple of caveats in there, as you'd expect me to do. One is currency rates. Obviously, if there's a big move in currency rates we'll either do better or worse, depending on which way those currency moves go. And the other thing I'd put out there is if there's any significant litigation-type events that we're unable to anticipate, and to the extent they're material, we'll obviously call them out. But all things being equal, constant currencies and no significant litigation, somewhere around GBP 17 billion is where we think we're heading. And we'll talk more about costs on Thursday as well, when Antony does the update on strategy.
Operator: The next question is from Manus Costello of Autonomous.
Manus Costello - Autonomous Research LLP: I had a couple of questions, please, on revenues outside of FICC. First, I wonder if you could give a bit more color around the Corporate Bank. You were talking, I think, about the Social Housing portfolio causing some volatility. Can you give us some indication of what to expect there and whether this is the right base for us to be looking at as a clean run rate because it was a bit weak in Corporate, certainly, versus my expectation? And secondly, one of the areas you've done well in was in Investment Banking Advisory. You've had a number of high-profile departures over the last few weeks. I wonder if you think that the pipeline is strong enough to withstand this, and we should still be having this kind of level of Advisory revenue in the models or whether or not you would expect some franchise weakening as cost cuts and headcount reduction come through there as well.
Tushar Morzaria: Thanks, Manus. On the Corporate Bank, yes, the -- as we say, the ESHLA portfolio -- for those that may not be familiar, it's Education, Social Housing and Local Authority. It's a very specific portfolio of long-dated loans that are accounted for on a mark-to-market basis with very, very long maturities. Now obviously, given the very long duration of these transactions, they can be a little bit volatile as a function of just interest rate spreads and various other market factors. So we saw a GBP 58 million reduction in Corporate Banking revenue as we just marked those -- or fair value those loans at quarter-end rates. The way I think about it is that, that will bounce around as market rates bounce around. They are the super high quality. There's absolutely no impairment that I would sort of be anticipating ascribing to these assets. But because of their very long duration, they do bounce around on a mark-to-market basis, so I tend to strip it out and just look at Corporate revenues excluding that.
Manus Costello - Autonomous Research LLP: Does the value go down, Tushar, as interest rates go up? Should we assume that relationship?
Tushar Morzaria: Yes, it's actually -- there's a number of things. You've got credit spreads in there as well and also our own funding level, so they're not -- I can't give you the sort of the easy soundbite because there's a number of factors there. But at least the way I think about it, I tend to look through that and look at sort of Corporate Bank revenues, excluding the movements in ESHLA. In terms of Advisory, you're right to point out we have a pretty decent franchise there. Our pipeline is strong, stronger than it was this time last year and stronger than it was at year-end, and you've seen some of the headline transactions that we've been involved with. In terms of significant departures, I don't anticipate that will weaken the franchise. We feel very good with the depth of talent that we have in the Banking division across all jurisdictions. I mean, there's some headline departures, I guess, in the U.S., but I don't anticipate that will be franchise damaging either in the U.S. and certainly not in the U.K., so we still feel pretty well positioned there.
Operator: The next question is from Andrew Coombs of Citigroup.
Andrew P. Coombs - Citigroup Inc, Research Division: If I could ask 2 questions on revenues. Firstly, just returning to Fixed Income, I fully appreciate your point about Q1 being a tough comp last year, also the business mix, and you drew out the point in Commodities. But even if I look -- I mean, your Macro Products is down 48% year-on-year. Your Credit Products is also down 33% year-on-year. Clearly, that excludes Commodities. So just trying to get a feel in terms of the potential losses here in downsizing right [ph] of business units across both of those streams, and is it fair to say that, that is not a fair reflection of the underlying base level? That would be my first question. The second question is just more on the Retail and Business Bank. If I look at your interest margins, they're flat to up Q-on-Q across every division, but the revenues are down Q-on-Q in every division. Is that just a function of the shorter number of days in the quarter, if you could just clarify, please?
Tushar Morzaria: Sure, thanks, Andrew. On FICC, I think really the heart of your question was, what's the sort of prospective run rate for this business. I think that's best addressed on Thursday when we talk more about how we see the Investment Bank going forward from this point on. You are correct to point out that macro was down obviously more, but credit was also down. Again, a number of factors a slightly tougher comp for us, some currency headwinds and again, there were changes made not only just in macro but also in credit in terms of repositioning. So it's a number of factors, not any one of them necessarily overwhelming. But the base level, I think, is best talked about on Thursday, Andrew, when we've given you a bit more information. In terms of your second question, you can see that obviously the U.K. Retail business NIM or NII and revenues were actually up 7% year-on-year. And you can see the underlying NII across the group was up year-on-year. When you look at the individual divisions, those that are -- have a currency effect in them will be reflective of that, so obviously Europe retail and wealth where there are some currency effects. Now both of those businesses, we did downsize our footprint, so it's a couple of factors, the downsizing coming through as well as the currency effect. If you look at Barclaycard, where income was up 3%, there is a slight currency effect there. We -- I haven't made too much of a big deal about the currency effect, otherwise, we'll be talking about it every single quarter. But you can see that where the predominance of interest income is in the U.K., you can see the growth coming through; where it's outside the U.K., it gets muted somewhat just because of the currency effect. But generally, NII on a local-currency basis continues to -- well, has trended up for us in recent times.
Operator: The next question is from Tom Rayner of Exane BNP Paribas.
Thomas Rayner - Exane BNP Paribas, Research Division: A couple, please. One I mean is factored back to FICC again and I suspect you might push it off to Thursday, but I mean over a slightly longer sort of time horizon, we've got used to Barclays being less volatile than peers in good quarters and bad quarters. The last few quarters doesn't seem to hold any longer, and certainly in Q1, it seems like in FICC you had a more volatile experience. Can you give us any sort of color on what that sort of FICC number, down 41%, would have looked like x some of the repositioning that you've talked about? And also I guess, I mean, and someone else has already asked, but your Chairman talked about the bonuses that were paid protecting -- being paid to protect the franchise. And I guess the question is, has that actually done what you hoped, has the franchise been protected or is it a broader issue? And I have a second question on stress test, please.
Tushar Morzaria: Do you want to just ask that as well, Tom, and then I'll take both of them.
Thomas Rayner - Exane BNP Paribas, Research Division: Yes, I guess now we sort of know the board methodology and the sort of things which the PRA are going to be looking at in stressing through the second half of this year, whether that's affected the sort of tension between your current CET1 ratio, your dividend commitment and obviously, the need to try and address the lower ROE in the Investment Bank. Has that changed your thinking at all? And again, I know this is very much sort of topics for Thursday probably but...
Tushar Morzaria: Well, I'll take the -- I think, I caught 3 questions, so one on FICC volatility, one on compensation last year and how that's impacted the franchise and on stress test. So I'll just take them in the order you gave them. In terms of FICC volatility, I haven't got the full history in front of me, but no doubt that we are -- traditionally have been slightly more biased towards Macro Products. And I think you've seen since the second half of last year and certainly into this quarter, Macro Products being a slightly more difficult asset class to be biased towards and therefore, you've seen our revenues come off really in the last 3 quarters. Now in this quarter, there were a number of other factors as well. As I say, I just remind people that there's currency effects, there's -- we saw Macro a more difficult class than Credit. We did do some sort of internal repositioning, and we did have lower client, so it's really a multitude of factors. In terms of what we see the outlook from FICC from this point on, I think that's best discussed on Thursday when we've given you a bit more information. In terms of bonuses paid and has the franchise been protected, well, I mean, the best way to look at it is perhaps look at attrition levels within the investment bank. And they don't appear materially different from where we saw them in the early part of last year, so you've seen some sort of high-profile bankers' leave and they have been reported in the press, but I'm not sure that's typical of everything else that's going on around the company. So at this stage, we don't feel unduly concerned. And again, we'll talk more about the shape of the Investment Bank on Thursday. In terms of stress test and the impact that may have on dividends, capital levels, we obviously run our own internal stress tests. We've looked at both the PRA and the EBA stress tests. Nothing that we've seen there unduly concerns us at this stage. It's obviously very early, and we do a lot -- we've got to do a lot of work to actually run those stresses through our books. But nothing unduly concerns us at this stage. We are committed to paying a dividend. Of course, that dividend is subject to being above any regulatory minimum, so I just call that out as a matter of fact. But at this stage, I think we -- we think that we're in a reasonable position.
Thomas Rayner - Exane BNP Paribas, Research Division: Okay. And then just maybe just to come back quickly on your -- on the first point on FICC when you -- you mentioned the mix, the bias towards Macro, currencies and internal, am I right to assume that the mix is very much the dominant driver of the weakness in Q1 and the other 2, currency and repositioning, are relatively small compared to that mix point or should I not assume that?
Tushar Morzaria: No, Tom, don't assume that. They're all relevant factors. I'm not sort of false-ranking them in order of priority. They're all relevant. If there was a 90% of the move was explained by one thing, I'd certainly call it out, but it's a number of factors.
Operator: The next question is from Raul Sinha of JPMorgan.
Raul Sinha - JP Morgan Chase & Co, Research Division: I've got 2, if I can, please. The first one, really, is on RWAs, and I appreciate you probably might say something about this in a couple of days' time, but I just wanted to get some clarity on your guidance. So you are currently at GBP 429 billion, and that includes GBP 56 billion of legacy in the group. That probably comes down over time, but you probably need a little bit for growth. When I look at the divisions, which are actually growing revenues significantly: U.K. Retail, 7% up year-on-year, but RWAs are flat; Barclaycard is up 3% year-on-year, but RWAs are flat. So it doesn't seem to me you need a lot of RWA for growth and yet you're flagging to us the GBP 429 billion probably goes up to GBP 440 billion long term. So is there anything regulatory that you built in, in terms of a buffer is just one of the things that I wanted to clarify? And then the second one, I just wanted to call out maybe if you can give us a little bit more color on the comments you made on PPI. Did you say that you've seen a spike in March in claims, although the overall sort of claims or the complaints have been down quarter-on-quarter? Could you maybe give us a little bit more color in terms of how you expect the provision to evolve here?
Tushar Morzaria: Yes, thanks, Raul. So just taking your RWA question first. We'll definitely talk more about RWAs on Thursday, so if you'll forgive me, I'll answer that question for you on Thursday when, hopefully, I've got the chance to meet you in person.
Raul Sinha - JP Morgan Chase & Co, Research Division: There's nothing regulatory that you see or has changed in the last 3 months that might lead us to think that there's a big spike in RWAs?
Tushar Morzaria: Not that we're expecting spanning [ph] this year, no. So it's not because we're expecting to be back to GBP 440 billion next quarter or anything like that by any stretch of imagination, but we can talk more about the forward RWA guidance on Thursday. In terms of PPI, I guess there's a couple of things I'd point out on PPI. One is, if you look at the proactive program that we have in place, we're more than 95% complete on that. You can see our claims levels are down 8%. You can see referrals to the Financial Ombudsman Service are also down. So by and large, that's going according to plan and we're in reasonable shape. What we did call out for everybody, though, is we have seen a spike in claims coming from professional claims management companies for potential redress for PPI going back for greater than 10 years. In some cases, actually, materially beyond that as well. Now we're working through that spike to really understand how much of those -- or how many of those claims are valid and where redress is due where obviously, we'll make customers whole [ph] with the appropriate interest payments. But it's just too early too, at this stage, to really see what that means for us. But I just think it's important that we've seen that spike in very, very old vintage claims come through, and we should just let folks know that we've seen that and we're working through it. We obviously felt comfortable with the provision of the first quarter, and we reassess it every quarter as you'd expect us to do, but it's an important thing just to be mindful of that we've seen.
Operator: The next question is from Chris Manners of Morgan Stanley.
Chris Manners - Morgan Stanley, Research Division: Yes, so 2 questions, if I may. The first one was just maybe for a little bit more color on what's going on in U.K. Retail, maybe if you could help us a little bit on asset margins, competition and potential impact of the mortgage market review, these 2 or 3 hour interviews people are known to be having, and your expectation of with the Bank of England may start to place some cooling measures for the housing market which obviously they -- as being sort of increasingly concerned about? Second question was on leverage ratio. Obviously, good progress again in the quarter. Just about your thinking of where you'd like to get on that ratio because it strikes me that the sort of 3% level may get scaled up for -- if you have to add-on Pillar 2A and G-SIFI, et cetera, you may be looking at 4% plus revenues of 3.5% to 4% guidance. So maybe just to hear your thoughts on the leverage ratio and the progress that you're making?
Tushar Morzaria: Yes, thanks, Chris. So the U.K. business and sort asset margins, well, let me take your question around the mortgage market review. That's obviously just come in, so it's a little bit early days to see how that's going to play out. But as we get used to and as customers really get used to the new approval mechanics that we need to go through, I think that will work out just okay. You're probably aware that our mortgage market share reached a record. We're growing quicker than the market in certainly mortgages and most other retail products. In terms of your second question about cooling effects for the Bank of England, I guess I'd draw you to the fact that our book tends to be very conservative. Our new production residential mortgages tend to be in the sort of high 60s, 70s loan-to-value. And you can see our mortgage stock is nearer 50% in fact, so we're in pretty good business. We tend to be underweight in buy to let. We tend to be underweight in 95% mortgages, so it's a pretty conservative book. Even with that, our book is growing, our market share is growing and margins are actually pretty healthy and you can see it ticked up a little bit this quarter. Now whether there's cooling measures that the Bank of England applied, it's obviously hard for me to comment on. But I think given the conservative nature of our lending book, I would expect to do just fine through whatever mechanisms may come in. In terms of your second question on leverage ratio, the 3.5% to 4% guidance and whether that's enough. We'll talk more about this on Thursday as well. A little bit to Raul's point, we'll guide a bit more on risk-weighted assets, we'll guide a bit more on leverage ratio as well. I would take these as a staging post, so firmly committed to get to 3.5% as quickly as we can, and then at 4%, along with the 10.5% common equity level, but we'll talk more about that on Thursday.
Operator: The next question is from Chira Barua of Sanford Bernstein.
Chirantan Barua - Sanford C. Bernstein & Co., LLC., Research Division: Just 2 quick questions. The first one is on Barclaycard, the franchise, obviously a very strong franchise, but income has kind of stalled in the last 3 quarters. If you could just help us understand whether it's coming from the merchant business or whether A&R [ph] growth is coming down, or it's a margin problem, so it would be very helpful on that. And the second one is on Wealth. You mentioned that there's some restructuring going on. I see that the AUM has dropped 3% sequentially, so if you could just give us more color that is it the trend and we should expect much more, that would be great.
Tushar Morzaria: Sure, on Barclaycard, I mean, profits are up 17% year-on-year. So I think I'll just draw your attention to that, that the ROE and profit generation still is very high. You've got to remember that -- and sort of within that, balances are growing, deposits are growing in the U.S. and processing, you can see our processing levels are up, I think, 6% payments going through our pipes this quarter. So it's actually been a pretty healthy business. I think what you're seeing in the top line, if that's really what you are looking at, is there is currency effects there. Obviously, the card business has U.S. dollar and rand. The massive depreciation in the rand that you've seen, but sterling strengthened quite significantly against the dollar as well. So I think you're just seeing a slightly muted effect because of the currency effects and that flows down through. In terms of Wealth, Wealth as you know, we've reset our footprint to simplify the business and to be much more focused in that business. So I think as a natural consequence, you will see AUM reflect that and I think that's what you are seeing. I think what you'll see over time is that the improvements in the -- or the simplification in that business should start yielding benefits on the cost line, and you're beginning to see that come through really this quarter, so that's something you should look out for in subsequent quarters as well.
Operator: The next question is from Peter Toeman of HSBC.
Peter Toeman - HSBC, Research Division: I've just got 2 questions. One is the RWAs within the Investment Bank have been pretty stable despite the repositioning that has obviously damaged revenues. And I just wondered if there is an explanation or should we be concerned that you've had this repositioning where it doesn't seem to have affected the level of capital employed? And could I also ask about the tax charge which in past quarters has reflected deferred tax asset write-offs and losses -- nonrecoverable losses overseas? I wondered if on the basis that the European business might move into profitability, whether the tax charge might come down a bit closer to the U.K. mainstream level?
Tushar Morzaria: Thanks, Peter. In terms of the RWA and what's been going on there, there is -- there are some decent level of reductions due to sort of business mix changes. In terms of where we're repositioning businesses and I'll take my favorite example of commodities because it's the only one we've talked about publicly, we haven't sort of instantaneously, immediately liquidated all positions, and so you see that drop off instantaneously. I think you'll sort of see that drop off over time. There are some methodology changes that we actually put through in the first quarter which really sort of mask, if you like, some of the reduction in RWA that you did see from some of that repositioning, so that will become more apparent in subsequent quarters. But these aren't sort of substantially big numbers, so I wouldn't get -- I wouldn't sort of point it out too much given that they're not just that big numbers, but you'll see the reduction come through over time. We'll talk more about that on Thursday as well. In terms of your question around tax rate, do we see that converging closer to U.K. tax levels. Again, I guess we'll talk a little bit more about that on Thursday, but I think you should expect Barclays to remain an internationally focused bank. So to the extent we have operations in the U.S. or anywhere outside of the U.K. where we have higher tax levels, that will be reflected in our tax charge. You've also got to remember, which I'm sure you're aware of, given [ph] HSBC, but the bank levy that's applied in the U.K. is nondeductible, so that has a sort of an effect of increasing the effective tax rate just because it's a nondeductible charge and it's quite significant. So always bear that in mind when you're trying to work out why we're above the 21% U.K. corporate tax charge, we'll always be that, simply because of the bank levy being nondeductible.
Operator: The next question is from Sandy Chen of Cenkos.
Sandy Chen - Cenkos Securities plc., Research Division: Actually, could I just follow up on the RWA comment that you just made regarding methodology changes, because looking at the CRD IV RWAs, it looks like there was a -- roughly a 3% reduction, GBP 11.4 billion in RWA reduction in the first quarter mainly due to changes in methodology and policy. And so given what you just said, would that reduction have been substantially -- was that mitigated by an upward revision in some methodologies? And actually, could you just comment a bit more on what drove that reduction in the GBP 11.4 billion in methodology changes?
Tushar Morzaria: Yes, sure. There are number of things going on there. We've got some methodology changes, as well as some model updates, and they kind of wash themselves out. So rather than sort of literally giving you all the line-by-line pluses and minuses, I would just guide you to say that this quarter, there were a number of changes put through by the policy matter and as a modeling matter that broadly offset. Had we not put through those changes, then the business reductions that you would have seen, which weren't that significant, again, I don't want to draw too much attention to it, but it would have been clearer. To the extent that in any subsequent quarters, the changes that we put through are significant to the net impact, we'll obviously call that out. But this quarter, it was really a wash, a number of items that just washed against each other.
Sandy Chen - Cenkos Securities plc., Research Division: Okay. So the GBP 11.4 billion down was kind of counterbalanced by the GBP 11.8 billion up in model updates, and then so should we take the model update creep upward sort of continuing, but the methodology more on a -- reduction, more on a one-off basis? I guess, you'll talk more about that on Thursday.
Tushar Morzaria: Yes, I'll sort of -- to be honest, Sandy, I just look at these things as -- I mean, we have this EDTF table that the disclosure is really put against, so we do show model updates and methodology changes separately, but I sort of think of them really in the same category. So I think of them as the cumulative effect of all changes going through. And they just broadly offset each other this time around. Were they significant in any direction, we would have definitely have called it out.
Operator: The next question is from JP Crutchley of UBS.
John-Paul Crutchley - UBS Investment Bank, Research Division: Two quick questions, if I may. The first one was maybe -- this may be best addressed on Thursday, was just about the IB compensation ratio and the cost income ratio, which is obviously so maybe in the wrong direction because income is falling faster than cost. But I guess the question was more about in terms of how we think about that ratio just for the Q1. And to the extent that ratio is obviously impacted by previous year's compensation coming through, how much actual flex is there in that figure? And also to the degree that we see further restructuring announced in the Investment Bank, in the event that you're letting people go [indiscernible] actually cost, et cetera, do we see a short-term inflation in that number, which is going to improve at later stage, or are the costs which are deferred, comp cost actually, now still follow through in later time periods? So that was just the first question. The second one, I'm just wondering if you could just help me on Africa a bit, where I'm just trying to understand a bit between the walk between the pretax number and the profit number, the very low returns being reported in terms of ROE. I suspect we're not getting the full picture there in terms of looking at it, so I'm wondering if you could just help just put some more color around that too, because it seems like a very low attributable number, but that's just the pretax and that's obviously contributing to the low returns being reported.
Tushar Morzaria: Yes. So on your first question, JP, on IB comp, yes, obviously, we will talk more about this on Thursday. But in regard to your question, it's probably relevant regardless, which is how much flex do we have been good IB comp level given the heavy levels of deferrals that we have in our most senior paid employees. I guess what I'd call -- draw your attention to is IB comp is down 20% quarter-on-quarter, even though most of that obviously is driven by, we don't have a very material amount of variable comp in any one particular accounting period. A lot of that is prior year deferrals. So we do have the ability to bring comp down as an accounting matter through resetting the footprint within the Investment Bank, and you're seeing a bit of that come through in this quarter. In terms of subsequent restructuring, were we to do that, we would typically take that as a restructuring charge upfront through our CTA line, so it would be reflected in lower comp levels from that point on. So it's sort folds away and what typically happens is a lot of the deferred awards immediately vest and gets booked as a CTA charge at the point of that action and then leave the comp line. I think the -- your second question was more around the sort of the attributable profit being somewhat low relative to the pretax line that you're seeing?
John-Paul Crutchley - UBS Investment Bank, Research Division: In Africa, yes. I think it was a GBP 20 million in Q1 of attributable profit versus GBP 100 million in the pretax line, which I just couldn't reconcile in my mind.
Tushar Morzaria: Yes, there's a couple of things going on in there JP. There's a higher effective tax rate because the operations are local in Africa, but it's about close to 35% effective tax rate there. You've also got the minority interest that you need to back out as well just the way the accounting flows, which are pretax. Out of that, you've got to take the tax charge. And out of that, you've got to take the minority interest line. And I know we can give you that breakdown, I can get Charlie to send that across to you and that will give you the full rate.
John-Paul Crutchley - UBS Investment Bank, Research Division: Okay. Just still seem like -- but yes, I'll take it offline.
Tushar Morzaria: Yes, we can get Charlie to send you the breakdown so you can sort of project forward, okay?
Operator: Our final question today, Tushar, is from Chintan Joshi of Nomura.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: Tushar, I have 2 here, a question in cost and leverage. On cost, can you just clarify the GBP 17 billion includes the levy and also if we should expect the CTA guidance to change? And then continuing on cost, Investment Bank comp ratio last year first quarter 46%, you ended the year at 43%. Should we expect similar travel in 2014 as well? Shall I give you the leverage now or later?
Tushar Morzaria: Yes, Chintan, why don't you give me that and then I'll answer them in one shot.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: It's a few quick ones, is the leverage reported on the January definition? How much of the reduction this quarter was driven by FX, and if you could help us with the CRD IV leverage number for the Investment Bank, please?
Tushar Morzaria: Sure, so let me take your cost question first. So does the GBP 17 billion include the bank levy. Yes, just to make it clear to everybody, we're projecting somewhere around GBP 17 billion of cost for the full year. That is inclusive of the bank levy. I'll have to put that in one of my caveats. Obviously, there are discussions around changing the basis in which the levy is calculated. I don't know where that's going to come out, but I have to sort of, if that comes out very different to where it is today...
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: So you're assuming that or do you have some increase planned in?
Tushar Morzaria: We -- on the old basis, if you stick with last year's basis, we would be somewhere between GBP 550 million and GBP 600 million is our expectation for this year. The new basis obviously hasn't been put in, so we just don't know what that is. So the GBP 17 billion is assuming the old basis, plus or minus GBP 17 billion is litigation that you not to be mindful of as well as currency rates you need to be mindful of. In terms of CTA guidance, we'll talk more about that on Thursday. Obviously, it would be part of the strategic review, it would be relevant for us to update people on CTA. So why don't I save that question really for then as a sort of a longer-term outlook. In terms of this quarter, in broadbrush terms, you should expect roughly a similar CTA charge in this quarter as we had last quarter, but we'll talk more about that on Thursday. IB comp 46% going down to 43%. Where we're going to be for this year? Yes, I think it was 41% is the comparison for last year. We haven't set comp for the full year, so it will be crazy for me to give you kind of guidance this early on in the year as to how the year is going to shake up. We'll pay for performance and we'll be reflective of that in our comp levels. A lot of the confidence we get as an accounting matter is coming through the deferred line, so there's a number of factors there, and it's just really too early in the year to be giving full year, I think, comp guidance. Chintan, on your question around leverage, FX, there's not much FX component in there for this quarter. FX rates didn't move really that much in the linked quarter. I would say though, I'd like to perhaps stop talking more -- much about FX when it comes to leverage now and draw people's attention to the ratio instead, because they will see FX impacts both the numerator and the denominator, and the ratio encapsulates all of that. So the 16-basis-point or so improvement is probably the thing that I'd guide people towards. In terms of the January rules, BCBS, GBP 270 million, we haven't given any updated guidance from full year on that, so somewhere around 10 to 20 basis points. We guided to about 20 basis points at full year. That probably remains where it is. We're committed -- the 3.5% to 4% that we committed will be on the prevailing rules set and we're expecting that to be the January rules, so that's what we're committed to. And I think finally, you asked for a CRD IV leverage for the IB. We don't disclose that, and I won't disclose it really on this call. So again, we'll talk more about outlook for leverage on Thursday. So I think that's it. Well, thanks, everybody for joining me. And I look forward to hopefully seeing many of you in person on Thursday and continuing the dialogue. So thanks again.